Lars Solstad: Good morning, and welcome to Solstad Offshore's Third Quarter 2025 presentation. It has been another quarter of solid operational and financial performance and with a continued high activity across our fleet. Today's presentation will be held by myself, CEO, Lars Peder Solstad; and CFO, Kjetil Ramstad. And after the presentation, we will open up for Q&A. So please submit your questions in the chat. If we take a quick look at the disclaimer before we move over to the third quarter highlights and our business update. It has been another quarter of solid operational performance for Solstad Offshore with a fleet utilization of 97% in the quarter, and that is also the number for year-to-date. So 97% utilization year-to-date. And while the long-term demand remains positive and we see several longer-term opportunities, we also see that in the short-term market, we experienced a slower or lower demand than we previously expected. And that is also in line with what we communicated in the business update in October 9. Following the Solstad Maritime's reduction in full year 2025 adjusted EBITDA guidance, we have then also updated the Solstad Offshore guidance for the year accordingly with operational guidance still intact, while the share of associated companies and joint ventures are slightly reduced as earlier communicated. If we look at this quarter and earnings. Has then been adjusted EBITDA of $29 million, and that is compared to $28 million in the same quarter last year. We have secured several new long-term contracts in Brazil, contributing to a total order intake of $222 million in the quarter, and that includes 1 Solstad Maritime vessel that will go on long-term contract to Petrobras. In addition, we signed a 3-year contract for Normand Turmalina, one of our Brazilian-built anchor handlers, for a 3-year contract starting in first quarter '26. And also our client on CSV Normand Superior exercised their option to extend the contract with 1 more year. It is also nice to mention that the Board proposes a third quarter 2025 dividend of USD 0.05 per share, totaling approximately $4 million, which is more or less equal to Solstad Offshore's share of the Solstad Maritime third quarter dividend. If we take a closer look at the market. Solstad Offshore maintains a very strong foothold in Brazil, where long-term demand for offshore energy services remains robust. And Brazil continues to offer both long-term and project opportunities for the CSV and the anchor handling fleet. Globally and in addition to Brazil, the activity is good and offers more opportunities for our fleet. In 2025, it has been the North Sea that has had lower than expected activity. And as we continue to underline, to be able to sign contracts and to be a part of the global markets, it is essential to have a local presence. And Solstad Offshore has particularly in Brazil a very, very strong position. The long-term offshore energy services remain positive globally, but we have to keep in mind that the oil price development seen in the last months could introduce some uncertainties into activity level going forward. If we look at our backlog and earnings visibility. Solstad Offshore divides its backlog in two. One is the backlog we have on the owned fleet. The other is the backlog on Solstad Maritime vessels that utilize the Solstad Offshore structure for Brazilian contracts. And both continue to strengthen. The new 3-year contract for Normand Turmalina and 1-year option for Normand Superior have increased our direct backlog this quarter. And there was also a material increase in the backlog for Solstad Maritime vessels due to a new 4-year contract for the CSV Normand Commander with Petrobras that starts early next year. So the firm backlog for Solstad Offshore vessels is $280 million, which is a doubling of the backlog compared to last year. And for Solstad Maritime vessels, it is at USD 640 million. In fourth quarter this year, we will have some vessel availability. That is due to one vessel has come off a contract and is now exposed to the short-term market, while one is at a planned yard stay. So that will influence the utilization fourth quarter '25. But looking into 2026, the earnings visibilities are very good. And we also see that for the available vessels we have, we see that there are quite a few market opportunities that we are chasing for those vessels. So Kjetil, can you take us through the financial highlights?
Kjetil Ramstad: I will, Lars. So let's start with the third quarter financial highlights for Solstad Offshore. It has been a quarter with high activity in third quarter with 97% utilization for the fleet compared to 97% last year. Year-to-date, we have an overall utilization of 97% versus 96% last year. On the revenue side. For the quarter, $73 million compared to $68 million last year. Year-to-date revenue was $220 million compared to $197 million. Adjusted EBITDA for the third quarter was $29 million compared to $28 million last year. Year-to-date, adjusted EBITDA of $91 million compared to $89 million last year. The net result was for the quarter $26 million compared to $11 million last year. Year-to-date, $88 million versus $52 million last year. Firm backlog for the Solstad Offshore owned vessels of $280 million compared to $42 million last year. This, of course, excludes the vessels on bareboat from Solstad Maritime. Book equity in the third quarter of $375 million, up from $203 million last year. And it gives an equity ratio of 44% for the company. Adjusted net interest-bearing debt of $57 million compared to $206 million last year. And the large reduction is mainly caused by Normand Maximus residual claim, which was approximately $185 million. Cash position at the quarter end was $87 million compared to $60 million last year. Plan to distribute dividend of $4 million in the quarter. Then if we have a closer look at the net interest-bearing debt and lease commitments in Solstad Offshore. We see that we have the regular bank facility of $90 million. That was drawn in November '24. That has a 5-year amortization profile with the majority in November '27. And then we have the financing for our Brazilian fleet, $51 million with BNDES, with maturity between '26 and '31. The lease commitments in the debt side of the balance sheet includes the Normand Maximus bareboat charter lease of $55 million and also the purchase options that is at $125 million and included in leasing with $105 million at the present value. Other leases is mainly the vessels that Solstad Maritime bareboats to Solstad Offshore for Brazilian operations and contracts. And the operational risk for these vessels are with the shipowner, Solstad Maritime. Then if we move over to the financial investments that we have in Solstad Offshore and start with Solstad Maritime, which Solstad Offshore owns 27.3% of. There will be paid a dividend of approximately $150 million in Solstad Maritime, and the share that Solstad Offshore will receive is $4 million. Share of the result in the quarter is $9.3 million compared to $13.1 million last year. Book value of the shares is $212 million. Then if we move to Normand Installer, which is a joint venture, owned 50-50 with SBM Offshore. The vessel is predominantly utilized on SBM Offshore's FPSO projects. First half of the year, the vessel had low utilization. And in the third quarter, the vessel had a planned maintenance dry dock. We expect that the rest of the year will be fully utilized. NISA is in a net cash position. And the share of the result in the quarter was negatively $0.3 million compared to positive $0.6 million last year. The book value of the shares is $20 million. And the last investment that Solstad Offshore has is Omega Subsea, where Solstad Offshore owns 35.8% of the shares. And Omega Subsea has 12 ROVs per the quarter end and 12 more scheduled to be delivered in 2026 and beyond. Share of the result in the quarter was $1.4 million and $4.2 million year-to-date. The book value of the shares is $16 million. Then if we go to financial guidance for Solstad Offshore. As mentioned and communicated 9th of October, we adjusted the financial guiding based on the change in guidance from Solstad Maritime. So the overall guidance on adjusted EBITDA is $150 million. The operational part of the guidance was unchanged at $60 million to $70 million, $53 million year-to-date. And the share of the results from associated companies and joint ventures was adjusted to around $50 million compared to the previous of $60 million to $80 million. As mentioned, there is a proposed dividend payment in the third quarter of USD 0.05 per share, totaling $4 million. And then if we go to the dividend dates. The summons to the AGM will be 3rd of November, and then the AGM will be 24th of November. Last day of trading to receive dividend is 24th of November. The ex date will be the 25th. Record date, the day after the 26th and then distribution date will be on or about the 28th of November this year. So with that, I leave the word back to you, Lars Peder, to summarize.
Lars Solstad: Yes. Thank you, Kjetil. And to summarize our presentation and the third quarter. We have had or a quarter with solid operational -- yes, sorry about that. Now we have the correct slide. To summarize the presentation, another solid quarter operationally and financially for Solstad Offshore. We have had a strong order intake that increases the visibility for 2026 and beyond. We also see several market opportunities for the available vessels we have into 2026. But as I have said already, we have to also keep in mind that the recent oil price development represents a source of uncertainty going into the coming quarter and beyond. We are also very pleased to announce that the Board proposed a dividend payment for the quarter, which is also in line with earlier indications. So all in all, a solid quarter for Solstad Offshore and also the visibility for the coming year is solid. So by that, we conclude the presentation. And let's see if there are some questions, Kjetil.
Kjetil Ramstad: Yes. Let's take the first one. What is the plan for Normand Tonjer and Normand Topazio?
Lars Solstad: Yes. That is a relevant question. And those are the 2 vessels that we have availability or idle time on in fourth quarter. If we take the Normand Topazio first, that is one of the Brazilian-built anchor handlers we have operating in Brazil. That vessel is on a planned yard stay at the moment that will influence the utilization in fourth quarter. It is officially known that we were on top of the list on the Petrobras auction for a long-term contract. Those discussions are ongoing, and let's see how that develops in the coming weeks and months. But we are positive to achieve a good utilization for that vessel either on that contract or on alternative opportunities in Brazil. For the Normand Tonjer, that is a vessel that Solstad Offshore owns 56% of and has been operated on a contract for TGS on seismic projects for several years. That vessel is now redelivered to us, and we operate the vessel in the -- or we are preparing for operations in the short-term market in the North Sea right now. But we are also in some discussions for longer-term opportunities for the vessel, let's say, into '26. So that's what I can announce on those 2 vessels.
Kjetil Ramstad: Thank you. Then there's a general question on the market of the fleet that we have in Solstad Offshore. How do you see the rate development on the contracts that we have? Is there escalations? Do we see a development from '25 to '26? Or what to expect on the secured contracts?
Lars Solstad: Yes. I think, I mean, on the contracts we have, they are sort of going on their, let's say, original terms with the natural cost escalation process included. On the rate level, we see for vessels that we have available, I would say it's quite stable on a high level, I would say. So I don't see much difference or, let's say, downward pressure on the day rates for the vessel types that we have availability on.
Kjetil Ramstad: And then there is a question on Petrobras and cost cutting. Can you update on the discussion on Petrobras with reference to the exposure that we have there with the 4 vessels -- the 3 vessels?
Lars Solstad: Yes. I mean, Petrobras is a large client of us and we have had discussions with them, as most other in this business. And I would say it's very constructive discussions where it's about, are there any place where it's naturally to cut cost? That could be for mobilizations or preparations for new contract. It could be on manning level. It could be on other specialties that you see on Petrobras contracts. So constructive dialogue and no sort of red light are linked to those contracts in terms of uncertainty, if that's -- yes, so I think that answers the question, I hope.
Kjetil Ramstad: Yes. Thank you. And then on Normand Maximus, it's on contract to the end of 2026. Can you say something about the plans for Maximus below this? And how do you see the market for a vessel like this long term?
Lars Solstad: Yes, it's correct. The vessel is still committed for another 14 months or so. We have discussions ongoing with the present client but also with some others. So this is, in a way, one of a kind, let's say, one project enabler and one of the few that has availability into '27 in the market. So the position we have on that vessel is very solid and quite confident that we will be able to secure some interesting work for the vessel also beyond '26.
Kjetil Ramstad: Thank you. Let's see. We have some more questions here. In the backlog for Solstad Offshore, we are showing a portion of Solstad Maritime vessels. Can you just explain why we look at Solstad Maritime vessels on the backlog of Solstad Offshore?
Lars Solstad: Yes. That is simply because Solstad Offshore is the contract holder with Petrobras or other clients in Brazil. And so the Solstad Maritime vessels are then bareboated to Solstad Offshore. So you will get, let's say, a bareboat backlog into Solstad Maritime while you will get also the, let's say, backlog into Solstad Offshore due to the structure where we in Solstad Offshore are the contract holder with Petrobras. So that's the reason. And it's a back-to-back. So the operational risk, even if it's a bareboat, lays with the vessel owner and not with Solstad Offshore on those vessels.
Kjetil Ramstad: Thank you. And then let me have a look. I think that concludes the questions for today.
Lars Solstad: Okay. So thank you very much for listening in, and have a nice day ahead.